Operator: Good day, ladies and gentlemen, and welcome to the Oxford Industries fourth quarter and fiscal 2017 earnings conference call. Today's conference is being recorded. At this time, I'd like to turn the floor over to Ms. Anne Shoemaker for opening remarks and introductions.
Anne Shoemaker: Thank you, Jeff. And good afternoon, everyone. Before we begin, I would like to remind participants that certain statements made on today's call and in the Q&A session may constitute forward-looking statements within the meaning of the federal securities laws. Forward-looking statements are not guarantees and actual results may differ materially from those expressed or implied in the forward-looking statement. Important factors that could cause actual results of operations or our financial condition to differ are discussed in our press release issued earlier today and in documents filed by us with the SEC, including the risk factors contained in our Form 10-K. We undertake no duty to update any forward-looking statements. During this call, we will be discussing certain non-GAAP financial measures. You can find a reconciliation of non-GAAP to GAAP financial measures in our press release issued earlier today, which is posted under the Investor Relations tab of our website at OxfordInc.com. Please note that all financial results and outlook information discussed on this call, unless otherwise noted, are from continuing operations and all per share amounts are on a diluted basis. As a reminder, the results from the Ben Sherman business are reflected as discontinued operations for all periods presented. Also, on April 19, 2016, the company acquired Southern Tide. Please note that fiscal 2017, which ended February 3, 2018, was a 53-week year, with the extra week included in the fourth quarter. Comparable store sales for fiscal 2017 and the fourth quarter are calculated on 53 to 53 and 14 to 14-week basis respectively. And now, I'd like to introduce today's call participants. With me today are Tom Chubb, Chairman and CEO, and Scott Grassmyer, CFO. Thank you for your attention. And I'll now turn the call over to Tom Chubb.
Thomas Chubb III: Good afternoon. And thank you for joining us. As we begin our new fiscal year, I'm pleased to begin by recapping the success we achieved with regard to operational objectives and financial performance over the course of 2017. As you know, it was a tough year for many companies in our industry and I'm proud of our organization for setting us apart from the pack and demonstrating true industry leadership. I'll talk about our progress and performance on an enterprise-level and give you some detail on the accomplishments of our individual brands, each of which did a great job this past year. Those comments should provide you with good context for the outlook we are communicating for 2018 and the way we intend to sustain our progress in the coming year and beyond. Oxford's fourth quarter and fiscal 2017 delivered a solid return for our shareholders. We achieved topline growth of 12% in the fourth quarter of fiscal 2017 and adjusted EPS of $0.93 per share compared to $0.63 in the fourth quarter of last year. These strong fourth-quarter results contributed to a very successful year for Oxford. For the full year, net sales grew by 6% to $1.086 billion, including a 3% comp store sales increase. Adjusted operating income grew by 9% and adjusted EPS grew 11% to $3.66 per share. For the year, our direct to consumer business – comprised of our bricks and mortar stores and restaurants, as well as business done through our e-commerce websites – accounted for two-thirds of our total revenue. During fiscal 2017, we were particularly focused on playing to our strength in e-commerce and mobile and our enterprise-wide e-commerce business grew 11% to $205 million. Our e-commerce business now constitutes 19% of our total revenue. During the year, we made significant progress in improving the way that we interact with our customers, including enhancement to the mobile experience with our brands. We also developed plans to re-platform the Lilly and Southern Tide e-commerce businesses, both of which will be executed in the first half of fiscal 2018. These and other initiatives should help us drive continued growth in our Web businesses. Our plan for fiscal 2017 also included managing our department store exposure very carefully. Department stores continue to face significant strategic challenges and are operating in a highly promotional environment. We value our relationships and partnerships with our department store customers. These are some of the greatest retailers in the country and we are continually looking for ways to build mutually profitable businesses with them. That said, where we can't find a way to build a win-win business that is in harmony with our standards for presenting and merchandising our brands, we are prepared to walk away from sales in order to protect the integrity of our brands. As a result, during fiscal 2017, sales to department stores declined to 14% from 16% of total sales in the prior year. We have cut back the number of doors we are selling at certain department store chains and we expect additional decreases in the wholesale sales in fiscal 2018. In 2017, as we considered the challenges in the retail landscape, we continued our conservative stance on new store openings and renewals of leases on existing stores. Between Tommy Bahama and Lilly Pulitzer, we opened 10 new stores and closed seven. During fiscal 2017, we also purchased 12 existing Lilly Pulitzer signature stores, which included stores in strategic markets such as Boston, Cape Cod, Martha's Vineyard and Nantucket. So, as of year-end, our total store count at Oxford was 223 stores. Going forward, we will continue a restrained opening pace given the changes ongoing in the marketplace. Moving on to some of the brand highlights, I'll start with our biggest brand, Tommy Bahama. At Tommy Bahama, addressing the profitability of this business was a top priority for fiscal 2017. We're pleased to report that we made good progress. During fiscal 2017, we grew Tommy Bahama total sales by 4% and gross margin expanded 100 basis points. Adjusted operating profit grew by 24% and our adjusted operating margin at Tommy Bahama expanded to 8.2% compared to 6.9% in fiscal 2016. We achieved 7% growth in Tommy Bahama's e-commerce business during the year and e-commerce now comprises 16% of our total Tommy Bahama business. Our Tommy Bahama women's direct business grew nicely and now represents 30% of our total Tommy Bahama full price direct business. In addition, we made terrific progress in cleaning up and improving the performance of our outlet stores, with a meaningful year-over-year decrease in inventory and gross margin expansion. One of the highlights of the year in Tommy Bahama was the success of some of our marketing initiatives, including the beautiful Live the Island Life spring catalog and the Give the Island Life holiday catalog. We finished the year strong with a 6% comp for the fourth quarter. This represents the fourth consecutive quarter of mid-single digit positive comps at Tommy Bahama. We are proud of the improvements that the Tommy Bahama team was able to make during fiscal 2017. Lilly Pulitzer also finished the year with a strong fourth-quarter, posting a 6% comp. The momentum really began with the after-party sale in August. Then by being nimble and agile in coming up with a variety of creative initiatives, the team at Lilly was able to maintain that momentum through the third and fourth quarters and into 2018. So, as we now turn our focus to 2018, we believe that we have excellent plans to drive the profitable growth that will help us continue to deliver long-term shareholder value. Scott will provide more detail on guidance in a minute, but here are some of the top-level highlights. We expect total sales growth in the mid-single digits driven by our direct-to-consumer businesses, particularly e-commerce, which we expect to grow in the low-double digits. In addition, we will be opening some new stores in 2018, particularly in locations that we believe are strategically appropriate and important, including our Tommy Bahama Marlin Bar & Grill in Palm Springs, a Lilly Pulitzer store on Wirth Avenue in Palm Beach, and our first Lilly Pulitzer store in Hawaii at Whaler’s Village on Maui. For the full year, we expect direct-to-consumer sales to once again increase as a percentage of total revenue. Growth in direct will be partially offset by further reductions in the wholesale, particularly in the first quarter. We expect EPS to grow by more than 20%, driven by sales growth, improved margins and, of course, a reduced tax rate. To deliver this top and bottom line growth amid the continued disruption in the consumer marketplace, we have developed additional strategies, particularly in the area of marketing. A couple of key changes in our marketplace are combining top-end marketing in our space. Until recently, some of the best tools for marketing brands, like those in our portfolio, were placement in the right department stores and owning your own stores in the right malls. Both of these virtually ensured that qualified customers would be exposed to your brand. Placement in select department stores and mall-based company-owned stores still play a role in our overall strategy. However, due to declining traffic in physical stores and malls, as well as the struggles of the department store channel in general, they are not the potent customer acquisition tools that they once were. As a result, we are increasingly focusing our physical store site selection on iconic locations in resorts and resort towns, such as the aforementioned locations in Palm Beach, Maui and Palm Springs. In addition to rethinking physical locations, we're rethinking brand marketing and communications. On the media front, the world has also changed dramatically. Digital and social media have moved to the forefront of modern marketing. In theory, digital media makes it easier and cheaper to reach consumers. While this is true to some extent, the digital media ecosystem also makes it easier than ever for consumers to tune out in a way that was not possible when the majority of consumers were watching the same three networks and reading the same group of newspapers and magazines. Consumers have greater control than ever over which messages actually reach them. Acquiring and retaining customers has always been a priority for our businesses, but these changes in media and the diminished marketing value of many physical distribution channels have combined to make customer acquisition and retention one of the most pressing challenges of our time. Accordingly, across Oxford, marketing to acquire and retain customers will be a top priority in fiscal 2018. This will include the addition of staff, increased spending levels and using a variety of marketing techniques, some of them new and some of them innovations on tried-and-true methods. Examples so far in 2018 include Lily Pulitzer's return to the swimwear business, which we successfully treated not only as a product launch, but as a marketing event to activate both existing and new customers. Other examples include Lily's participation as a sponsor in the Honda Classic Golf Tournament and their collaboration with Pottery Barn, both of which were great customer activation events. And in Tommy Bahama, where we will be leveraging our recently launched Long Live the Island Life marketing campaign in a variety of ways throughout the year as we celebrate Tommy Bahama's 25th anniversary. Using marketing to drive customer acquisition and retention throughout the year will be a priority and we expect to increase our marketing spend in 2018 by approximately $12 million enterprise-wide to over 6% of total company revenue. Now more than ever, the marketplace requires brand authenticity. Thanks to mobile devices and the Internet, consumers have unprecedented access to information about brands, products and pricing as well as the ability to communicate directly with brands and other consumers. It is easy for consumers to find the lowest prices on products from brands they love and find substitutes for products from brands they are not emotionally committed to. The transparent and globally accessible marketplace created by the digital mobile environment means that brands are effectively competing for consumer attention and affection with most of the other brands in the world. To stand out in this virtual sea of brands, a brand must be very distinctive, unique and consistent in its positioning, product and messaging. Consumers are looking for brands that seem to be designed just for me. In this setting, it is more important than ever that brands be the first choice of the few rather than the second choice of many. With brands like Tommy Bahama, Lilly Pulitzer and Southern Tide, Oxford is well-positioned to take advantage of this environment. We also today announced a meaningful increase in our dividend. We believe this 26% increase represents an appropriate distribution to our shareholders and reinforces our commitment to delivering long-term shareholder value. For that, we should thank our people. Everything we do and everything we achieve flows from an incredible group of men and women who come to work every day focused on making our customers happy and coming back for more. With that, I'll now turn the call over to Scott Grassmyer for more details on fiscal 2017 and plans for 2018. Scott?
Scott Grassmyer : Thanks, Tom. Tom covered the high points of our financial results for 2017 and I'll just touch for a moment on our balance sheet and capital structure. Our balance sheet remains strong and we have a capital structure well positioned to support growth. Improved inventory turns at Tommy Bahama, Southern Tide and Lanier Apparel resulted in inventory reductions year-over-year. Inventories decreased to $127 million at the end of fiscal 2017 compared to $142 million at the end of fiscal 2016. At February 3rd, 2018, we had $46 million of borrowings outstanding and $220 million of availability under our revolving credit agreement. Cash flow from operations continued to be strong at $119 million and free cash flow was $80 million. I'd now like to walk you through our projections for 2018. For the full 2018 fiscal year, adjusted earnings per share is expected to be between $4.40 and $4.60 on sales in the range of $1.12 billion to $1.14 billion. In fiscal 2017, which was a 53-week year, sales were $1.086 billion and adjusted EPS from continuing operations was $3.66. Our interest expense is expected to be approximately $3 million and our effective tax rate is expected to be approximately 26%. For the first quarter of fiscal 2018, we currently expect net sales between $265 million to $275 million. Adjusted earnings per share from continuing operations are expected to be between $1.15 and $1.25. On a comparable basis, sales were $272 million in the first quarter of fiscal 2017 and adjusted EPS from continuing operations was $1.12. As we look at how the year lays out, our first quarter operating income will be negatively impacted by the combination of wholesale sales reductions and increased marketing spend. The reduction in wholesale sales in fiscal 2018 falls disproportionately in the first quarter. Our capital expenditures in 2018 are expected to primarily consist of costs associated with information technology initiatives, including e-commerce capabilities, opening and remodeling restaurants and full price retail stores and facilities enhancements for distribution centers and offices. In 2017, capital expenditures were $39 million. And due to a shift in timing of some of our projects, we expect capital expenditures to approach $60 million in 2018. The blend of the two years represents a more normalized run rate. In fiscal 2018, we expect cash flow from operations to significantly exceed our capital expenditures and dividend requirements. Here are some additional details of our plans for each of our operating groups in 2018. With healthy sales increases in our direct-to-consumer business, materially offset by reductions in wholesale sales as the number of doors is reduced, we expect the top line at Tommy Bahama to grow very modestly. Tommy Bahama is planning to open its Palm Springs Marlin Bar in the first half of fiscal 2018. We expect to have a handful of additional doors open in 2018, including a new location near Melbourne, Australia and one in Napa, California. These openings will likely be offset by some closures at lease expiration. We expect to drive gross margin expansion of approximately 100 basis points and operating margin expansion of approximately 50 basis points in fiscal 2018. For fiscal 2018, Lilly Pulitzer is expecting a high single-digit sales increase compared to fiscal 2017, with the benefit of offering additional stores and increased comps in the mid-single digits. Wholesale sales are expected to be lower year-over-year due to a reduction in door count and the conversion of 12 signature stores to company-owned stores in 2017. We expect to open three to four new stores in 2018. Operating margin is expected to be comparable to 2017. For Lanier Apparel, we're expecting a mid-single digit percentage increase in sales with operating income flat with 2017. Southern Tide's plan for fiscal 2018 includes low double-digit increases on both the top and bottom line. Finally, the operating loss in our Corporate and Other segment is expected to increase by approximately $1 million. Overall, we're optimistic about our plans for 2018 and expect to deliver another solid year. And, Justin, with that, we're ready for questions.
Operator: Thank you. [Operator Instructions]. Our first question comes from Edward Yruma with KeyBanc Capital Markets.
Edward Yruma: Hi. Good afternoon, guys. And thanks for taking my question. I guess, first, on the e-commerce replatforming, I know you talked about IT investment in the first quarter. I guess, how should we think about how to model in any potential disruption, when does the go-live happen? And perhaps, more importantly, what is your objective in replatforming and how will that enable kind of stronger growth in the e-commerce business?
Thomas Chubb III: First of all, with respect to any disruption in the business, obviously, our plan is to try to avoid disruption in the business, partially by timing the transition to a period that's maybe slightly slower than some other times during the year. And then, secondly, just by very, very careful planning and execution. So, hopefully, we won't see a lot of disruption there. Then in terms what we're trying to accomplish there, the sort of catchall phrase of it is that we're trying to enhance the consumer experience. There are things that we're doing that are designed really to make the website easier for us to use and to merchandise, to deliver that experience to the consumer. And then, on the consumer side, there are things that hopefully will make it more usable and shoppable for them. There are both good websites already. So, it's not like we're going from dysfunctional to functional. It's just trying to enhance the functionality of those websites.
Scott Grassmyer: We replatformed Tommy Bahama a couple of years ago and it was a very smooth transition and we didn't have interruptions and we think the same will be for Lilly and Southern Tide.
Edward Yruma: Great. And one follow-up, if I may. I know you've been very strategic in lowering department store exposure across the enterprise. And it does sound like you're going to kind of reduce door count, particularly at Tommy Bahama. How should we think about the doors that you're exiting at this point? Is it kind of still one-off? Are you exiting specific chains? And then, I guess, kind of the offset, is there an opportunity to grow in specialty doors or in resort locations? Thanks a lot.
Thomas Chubb III: Yeah. I think, Ed, I would characterize it as being more one-off and door specific as opposed to wholesale exits of entire chains. So, really, just looking at all the doors that we're in and evaluating whether it's performing – whether the business is performing well for them. And where it's not, pulling back. As we said, we want to have fine situations and we're always looking for them where we can be successful and the department store can be successful and we can present the brand in a way that's consistent with our standards for presenting and merchandising the brand. In terms of growth opportunities, we do think there are some opportunities in some parts of the specialty world, as well as the resort world. Those are probably not quite as big as some of the department store businesses. So, the net ends up being some reduction in the wholesale.
Edward Yruma: Great. Thanks so much, guys.
Thomas Chubb III: Thanks, Ed.
Operator: Moving on to Susan Anderson with B. Riley FBR.
Susan Anderson: Hi. Thanks for taking my question. Nice job on the quarter, you guys.
Thomas Chubb III: Thank you.
Susan Anderson: I guess, just to follow up on the wholesale question, where do you guys think we're kind of at in the cycle of rationalization there? Would you guys expect more pressure over the next 2 to 3 years? Do you think that we've kind of – we're starting to hit a bottom there or do you think there's kind of more to come?
Thomas Chubb III: It's hard to say. Look, Susan, we're not looking to exit businesses. It's just that we want to be prepared to do it if we need it. I think there are some signs that maybe that world is beginning to stabilize a bit. And we certainly would love to see that be the case. But I think we've got to be prepared for sort of either eventuality. And for 2018, there's still a little bit of downward pressure there.
Susan Anderson: Got it. Okay, that's helpful. And then, just one last one, really quick, on the Tommy outlook. I think you guys have said modest sales growth. Maybe I missed it, did you guys talk about the comp growth or is the modest growth more coming from some of the closed doors that you guys are expecting?
Scott Grassmyer: We'll have a pretty modest opening – store opening pace, but we should – we expect to have positive comps at Tommy Bahama. We've got a fairly moderate comp increase plan there and then we'll have some wholesale decrease. So, I think we'll open a few doors, we'll get some positive comp. Our e-commerce business has been very strong, and we should expect it to continue to grow and that's a big focus. But we will have some wholesale decrease also. And we also – remember 2017 was a 53-week year and we've got a 52-week year next year.
Susan Anderson: Yeah, got it. Okay, great. Thanks so much, you guys. Good luck next quarter.
Thomas Chubb III: Thank you, Susan.
Operator: And next will be Rick Patel with Needham & Company.
Rick Patel: Thank you. Good afternoon, everyone, and congrats on capping the year in a strong way.
Thomas Chubb III: Thank you, Rick.
Rick Patel: As we think about the outlook for Tommy in DTC, how much of your revenue growth in 2018 will come from the flow-through of initiatives in 2017, meaning whether it's price increase or gift card events, et cetera, versus new initiatives that are – it looks like it's going to be focused more on new customer acquisition this year. Just wondering how they balance out.
Thomas Chubb III: I think new customer acquisition is going to be more important. We get a little bit out of some of the price increases, but we kind of – the 53rd week kind of neutralizing that to a certain degree. But I think it's the new initiatives. We're hoping to gain customers. We're spending more marketing and we expect to get some new customers out of it, but we don't how quickly that will happen because the increased marketing spend is more around customer acquisitions, more so than communicating with our existing customer. We'll still do that part, but some of the additional spend is on customer acquisition. So, that is a focus for sure in 2018.
Rick Patel: So, on that point, one of the big themes this earnings season has been the need for a lot of companies to invest in data analytics and CRM capabilities. How do you feel about the capabilities you have across each of your brands to leverage analytics in order to be the most impactful that you can be from a marketing perspective?
Thomas Chubb III: Well, that's absolutely a focus of a lot of the IT investment that we're doing, is trying to improve our capabilities in those areas. There's certainly a lot that we can do now and that we do now, but we want to be able to do more, so that area – CRM in particular and data analytics are both a big part of what that overall IT investment is. And that's really sort of across the company.
Rick Patel: Great. And last one on Southern Tide, I was hoping you could talk about your retail strategy there just given some developments in that concept over the last month. And as we look for double-digit revenue growth, how much of that will be organic, so to speak, versus your new retail strategy?
Thomas Chubb III: Well, it's not really a new retail strategy. They had one signature, I believe, when we bought them. They opened two more within 2016 and like four or five last year. And then, as you know, you've read about – got plans for more this year. So, that idea of having to license signature stores has been – that's been part of their strategic plan since before we bought them. In terms of how much of the growth is coming directly from the signature stores versus other avenues, it's going to be a meaningful portion, but not the majority.
Scott Grassmyer: Right, right.
Thomas Chubb III: Less than half.
Rick Patel: That's very helpful. Thank you very much.
Thomas Chubb III: Okay, thank you.
Operator: [Operator Instructions]. Our next question comes from Michael Kawamoto with D.A. Davidson.
Michael Kawamoto: Hey, guys. I'm on Andrew today. Thanks for taking my question.
Thomas Chubb III: Sure.
Michael Kawamoto: Just on the Lilly Pulitzer Pottery Barn collaboration, are you expecting an increase in traffic in comps in Lilly stores, similar to what you saw with the Target collaboration. Maybe not to that scale, but has traffic picked up at all in the signature stores or is it too early to tell?
Thomas Chubb III: Yes. We definitely got a lift in activity as a result of that collaboration and some of that's still going on. Officially, I guess, it went live about two weeks ago now, I think. Some of the catalogs continue to dribble out and sometimes people don't actually get to their mailbox when the catalog first hits. And so, we're continuing to see benefits from that to this day. I think the way you characterized it, Michael, is perfect. It's similar to the target effect that we saw, not the same scale, but still a – just a terrific win-win sort of marketing event for us. And I think it's been good for Pottery Barn as well, which is important to us. We want them, as our partner, to be successful as well. From everything we're hearing from them, it's been quite good for them as well.
Michael Kawamoto: Awesome, thanks. And then, just on the outlet business for Tommy, you spent a lot of time improving merchandising. It sounds like it's resonating pretty well. What are your expectations for the outlets in 2018?
Scott Grassmyer: Continued gross margin expansion. Even if the comps aren't up significantly, we think the gross margin expansion will make those more profitable than they were. And we're keeping balance with – moving inventory we need to move where in the past we weren't quite moving what we need to move. We now are able to keep up.
Michael Kawamoto: Awesome. Thanks, guys.
Thomas Chubb III: Thanks a lot, Michael.
Operator: And next will be Pam Quintiliano with SunTrust.
Thomas Chubb III: Hi, Pam.
Pamela Quintiliano: Hi. Thanks much for taking my questions. And let me add my congratulations on the execution not only in the quarter, but the year as well.
Thomas Chubb III: Thank you.
Pamela Quintiliano: So, first question, can you just give us an update on how Hawaii and Asia are doing for Tommy Bahama?
Thomas Chubb III: Yeah, Hawaii is good right now. It's strong. I think the tourism stats are good there. And we're seeing it in our business. We're pleased with the way that Hawaii is going right now, as we talked about. Of course, Tommy is already there in a big way and we're going to be opening a Lilly Pulitzer store there in Whaler's Village on Maui where Tommy has had a great store for a long time. And that will be Lilly's first store in Hawaii. So, very excited about Hawaii right now. And with regard to Asia, it's sort of more the same story that you've been hearing from us over the last couple of years. We're very focused on growing and running well the business that we have in Australia and we continue to be pleased with that. And then, in the China and Hong Kong market, that's now licensed, and that license business is slowly growing and moving forward, not material to the enterprise at all, but it is moving forward. And then, in the remaining Asia business, we're continuing to cut the loss and look for opportunities to maybe find a partner to help us out in some of that business. And I think – Scott, what's our – the loss will come down.
Scott Grassmyer: It should come down by at least $2 million in 2018 and we did some similar in 2017. So, the loss is whittling down. There's still a loss there, but it's certainly coming down.
Pamela Quintiliano: Great. And then, if I could just ask, I know you mentioned the Marlin bar. In 1Q, opening the location. But how should we think about annual plans for Marlin bar and are there any going to any restaurant retail combo locations opening this year?
Thomas Chubb III: Well, that Palm Springs Marlin Bar will have a retail store with it as well. And it'll be – it's maybe sort of halfway between a regular restaurant in the Marlin bar that's in Coconut Point, Florida, which is the first one that we did, but there will be a retail store there. And then, we continue to look for additional locations that would build upon that Marlin Bar concept. I don't think we have anything to announce.
Scott Grassmyer: Nothing to announce. Yeah. But we're looking at several potential locations.
Pamela Quintiliano: And then, my last question, and forgive me if I missed this. I know you commented on Lilly Pulitzer just kind of continuing. Any commentary on Tommy Bahama? And then, if you talk about, holiday overall for retail seemed to be better than a lot had anticipated. How do you think your consumer is feeling right now? Do you think that they're optimistic? Do you think within the realm of the shopping experience that you're talking and maybe department stores are not as intriguing as they once were for the consumer, but you think – when you look at your own store traffic, coming to store more often, more engaged, if you could just give us a little bit more information on that. Thank you.
Thomas Chubb III: Well, I think overall – and this is reflected in the holiday sales for us and others. I think the consumer is extremely strong right now. I think they're feeling – whatever their thoughts may be about a variety of world event, they feel quite good about the economy right now and their ability to come out and spend. And our challenge, like every other business, consumer business in the world, is to make sure that we're getting them to us. And as the retail landscape changes, there is – continues to be a decline in mall traffic. People are more focused on buying when they get there. We continue to see conversion rates going up. So, maybe they're less, but they're more intent on actually buying when they are. And our job is to not fight the trends in the market, but to figure out how to play to them to our advantage. And I think we did that successfully in 2017, particularly in the fourth quarter. That's why we're able to generate the results that we did. And we think our plans for 2018, including the enhanced marketing spend, which is a pretty big deal. For us, 12 million additional dollars is a lot. And we think we're focused on the right things to continue to drive profitable growth.
Pamela Quintiliano: Understood. Quarter-to-date, any commentary?
Thomas Chubb III: Yes. We're pleased with what we've seen quarter-to-date. Overall, we got positive comps. It's a bit stronger in Lilly than in Tommy right now, but we're expecting a big month in April in Tommy. And we feel good about our plan there. April is a big month for Tommy typically.
Pamela Quintiliano: Excellent. Well, best of luck. Congratulations again.
Thomas Chubb III: Thank you.
Operator: And next will be Dana Telsey with Telsey Advisory Group.
Dana Telsey: Good afternoon, everyone. As you think about the $12 million of additional marketing spend, is this a steady state going forward? And which businesses overall with the marketing do you expect to have the earliest reception to the marketing? And then also, as you think about your gross margins and the buckets of gross margins for each brand, how should we think of 2018, whether it's product cost, whether it's markdown, clearance, how do you think it derives? Thank you.
Thomas Chubb III: Okay. That was a lot of questions in one question. We'll start at the top and try to pick them off. I think the increased marketing spend, I would – so, this year, I think, we're projected at 6.2% of sales for the total company, which would be up from about 5.4% for 2017. So, I would expect us to continue to spend at a higher level than we did in 2017 in future years. Whether it will be quite as high as a percentage of sales as it is this year, I don't know. It may come down a little bit next year. And the reason is, Dana, is that a lot of that additional spending is in Tommy Bahama and, frankly, we're doing a bit of testing and experimenting. We're trying some things. Some of them are going to work better than others and that's going to inform our sort of future plans and spending. Some of those things that Tommy is doing I think are going to take a little longer to seed. Some of the things that Lilly has got going, for example, the Pottery Barn initiative, that's not a great example because we actually get paid for that one. It doesn't cost us anything. But it still has almost an immediate effect. The Honda Classic Golf Tournament is maybe a better example because we did spend some money on it, but there's –we had sales actually at the tournament. And there's sort of an immediate payback, hopefully some longer-term burn on that as well. But, hopefully, that helps explain what we're trying to do here. And, again, the big picture, Dana, is that is that marketplace is changing, we want to make sure that we're doing the right things to get the consumers' attention because we know that if they're looking at our brands, they will love what they see, and they'll buy it. But we need to make sure we're getting them looking at our brands.
Scott Grassmyer: On the gross margin, we expect gross margin expansion at Tommy Bahama really in all of their channels and distribution and they will have the impact of direct to consumer being a higher percent of the mix. But we've had some of the initiatives we started last year on input cost reductions and some price increases that should help. We also have our outlet stores that we were cleaning up last year that are going to have healthier margins. In Lilly, their margins should hold. They've always had good gross margins and we think they'll hold well.
Dana Telsey: Thank you.
Thomas Chubb III: Did we miss anything?
Dana Telsey: No, you got it.
Thomas Chubb III: Okay.
Operator: And that does conclude the question-and-answer session. I will now turn the conference back over to Tom Chubb for any closing or additional remarks.
Thomas Chubb III: Okay, Justin. Thank you again for your time this afternoon. We appreciate your interest and look forward to speaking to you again in June.
Operator: Well, thank you. That does conclude today's conference. We do thank you for your participation today.